Operator: Greetings, and welcome to The Glimpse Group Fiscal Year 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. Before we begin the final presentation, I’d like to remind everyone that statements made on today’s call and webcast, including those regarding future financial results and industry prospects are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the Company’s regulatory filings for a list of associated risks. And we will also refer you to the Company’s website for more supporting industry information. I would now like to hand the call over to Lyron Bentovim, President and CEO of The Glimpse Group. Lyron, the floor is yours.
Lyron Bentovim: Thank you, operator, and thank you everyone for joining us. I’m pleased to welcome you to The Glimpse Group’s fiscal year 2021 financial results for year ending June 30, 2021 conference call. Since this is our first public earnings call, I want to take this opportunity to provide a quick overview of The Glimpse Group to anyone who is new to our story. The Glimpse Group is a diversified virtual reality and augmented reality platform company, comprised of multiple wholly owned integrated VR and AR enterprise-focused software and services subsidiary companies, providing investors an opportunity to invest directly into this emerging VR and AR industry via a diversified platform. We created Glimpse with the vision of cultivating companies in the emerging VR/AR industry, simplifying the challenges they face, creating a robust ecosystem, capturing wide IP, while creating scale and cost efficiencies where we see in early stage industries, and mitigating risks for the investors and entrepreneurs. Fiscal year 2021 was our fifth year of operation and a pivotal year for The Glimpse Group, highlighted by several achievements as we look to continue to establish our unique business model and strengthen our market position in the rapidly growing immersive technology space. We successfully completed a $14.1 million initial public offering and the listing of Glimpse common shares on the NASDAQ stock exchange, establishing ourselves as a first pure play NASDAQ listed diversified virtual and augmented reality software and services company. Although our fiscal 2021 was impacted by the pandemic, we still saw continued strong top line revenue growth, 76% year-over-year. This growth was fully organic, and the results of new customer engagements and existing customer follow-on engagements, including several multiyear commitments. Our software license SaaS revenue grew by approximately 100% year-over-year. Our pure software and related service revenues, which does not include our VR and AR projects, grew by approximately 240% year-over-year and now comprise approximately 50% of our total revenue. During fiscal 2021, both our EBITDA loss and cash flows from operations improved significantly year-over-year as we continue to manage the growth efficiently. In conjunction with continued organic growth, select accretive acquisitions are a core part of our growth strategy. As an example, last month we acquired our 10th subsidiary company, Auggd, a provider of augmented reality software and services. This acquisition expanded Glimpse into a new vertical in the architecture, engineering and construction, AEC, segment and allowed us to establish our footprint in Australia. We expect to close on additional acquisitions of various sizes in the coming months. We also added to our intellectual property portfolio with issuance of our four patents. We have an additional nine patents previously filed and in the process with the patent office. We are striving to capture very wide and far-reaching contents with significant potential when the industry matures. We improved the composition of our Board by expanding the number of directors and adding new independent directors with significant industry expertise. With a clean capital structure, approximately $13 million of cash and no material liabilities, we have the ability to capitalize on the significant growth opportunities in this emerging market and are well positioned for further organic and inorganic growth. After the recent acquisition of Auggd, The Glimpse Group has 10 subsidiary companies that are serving a diverse set of industries, ranging from health care to corporate training, from financial services to therapy and support, from media and entertainment to education. We are constantly looking to add high-quality companies that will expand us into new industry segments, increase our scale, further diversify and deepen the Glimpse ecosystem or enhance and strengthen our positioning in existing markets. We are very proud of the caliber and diversity of the partners and customers we are working with, and we look forward to continuing to expand these relationships and add new ones as we continue to grow. The diversity of our subsidiaries and of our customer base is evident from some of the recent announcements we’ve made over the last few months. Our learning and corporate training subsidiary company, Adept XR, announced a multiyear partnership with higher education disruptor, Edstutia, to integrate its VR platform, elevate into Edstutia’s curriculum and build a unique immersive virtual campus that would be the heart of Edstutia’s educational activities. In July, we announced an innovative AR collaboration with Swiss Chalet, a recipe company, which is one of Canada’s largest full-service restaurant companies, to gamify the experience of the takeout shopper and connect them with the brand and the restaurant’s experience. Early Adopters, our K-12 education subsidiary company, announced the extension of its multiyear relationship with Avenues World School to bring a new dimension to the experience of its students, teachers and parents using our Common Room product, which allows students to present their work in augmented reality. Our subsidiary company, Foretell Reality announced a multiyear license with North-Star Care to integrate its virtual reality support group solution with NSC’s innovative additional telehealth treatment. Our subsidiary company, Pagoni VR, announced its third year of working with Temple University to use its patent pending Chimera platform to broadcast live interactive classes to students around the world. And our subsidiary company, QReal, announced its status as a preferred augmented reality partner of Snap, working in partnership with the Snap team to use QReal’s life-like AR content to bring dozens of brands to life on Snap Lenses. These are just a few examples, and we hope to share more of the work of our subsidiaries and their partners with you over the coming months. Overall opportunities in the immersive world can be categorized into four distinct buckets. The first one that is gaining significant early traction is marketing. Brands are seeing great success using augmented and virtual reality to connect with the younger demographic of shoppers, building brand awareness, engagement and immersive connection. Immersive technology is a natural medium for learning and education. Although early, we can see success in the full spectrum of learning from K-12 to higher education, to corporate training for both soft and hard skills, as well as medical professional training. One of the advantages of the XR technology is that it allows us to visualize anything and everything, from buildings that have not yet been built to products we don’t have in our hands, all the way to visualizing complex data in new insightful ways. But, the end game for immersive technologies is the Metaverse. While it’s still in infancy, the Metaverse has the potential to bring into life a new dimension, dramatically changing the way we work and play. In time, the Metaverse will open up a new 3D digital world, enabling us to work in virtual offices, travel to virtual worlds, learning virtual schools and shop in virtual stores. We believe that Glimpse is positioned to play an enabling role in the development of the Metaverse as it evolves from its concept to a business reality, and as other emerging technologies, AI, computer vision, blockchain potentially call us together with VR and AR over time. With that, I will now turn it over to Maydan Rothblum, Glimpse’s CFO and COO, to review the financial results for our fiscal 2021. Maydan?
Maydan Rothblum: Thanks, Lyron. I will limit my portion to a safe review of our financial results. A full breakdown is available in our 10-K and in the press release across the wire after market closed today. Please note that I’ll refer to adjusted EBITDA and other non-GAAP measures. For the calculation of adjusted EBITDA and other non-GAAP measures, please refer to the MD&A section of our 10-K filing, which you can find on our website under SEC filings. Total revenue grew 76% to $3.42 million for the year ended June 30, 2021, as compared to $1.95 million in the previous fiscal year. The increased revenue was primarily driven by the addition of new customers and increased business with existing customers. Our software services revenue category comprised of AR projects and software-related services was $3.08 million for fiscal year 2021 compared to $1.78 million for the year ended 2020, an increase of approximately 73%. Our software license and SaaS revenue were approximately $0.34 million in 2021 and $0.17 million in 2020, an increase of approximately 100%. As the VR and AR industry has continued to mature, we expect our software license and SaaS revenue to continue to grow on an absolute basis and as an overall percentage of total revenue. For the year ended June 30, 2021, VR/AR software and related services revenues, not including VR/AR projects, was $1.73 million compared to $0.51 million for the prior year, an increase of approximately 239%. For fiscal year 2021, non-project revenue accounted for approximately 50.4% of total revenues as compared to 26.1% in the previous fiscal year. Gross profit increased to $1.96 million or 57.3% of revenue in fiscal year 2021, as compared to a gross profit of $0.81 million or 41.5% of revenue in fiscal year 2020. The increase was primarily due to an increase in our software license and SaaS revenue, improved software services project management, and higher utilization of our internal staff. Our cash-based gross profit margin, excluding stock option-based costs of revenue expenses, was approximately 74% for the year ended June 30, 2021, compared to approximately 53% for the year ended June 30, 2020. Operating expenses for the year ended June 30, 2021, were $6.67 million compared to $5.73 million in the prior year. This was primarily due to increases in research and development, and G&A expenses, partially offset by a decrease in sales and marketing expense. For the year ended June 30, 2021, net loss from operations was $4.71 million compared to a net loss from operations of $4.92 million for fiscal year 2020, an improvement of approximately 4% period-to-period, primarily driven by increases in revenues and profit margins, which outpaced an increase in operating expenses. Net loss for the year ended June 30, 2021, was $6.09 million, an increase of 22% compared to a net loss of approximately $4.99 million for the year ended June 30, 2020, primarily driven by an increase in other expenses, which were onetime in their nature relating to the July IPO. As it relates to cash flow, we look at two main parameters. Net cash used in operating expenses for the year ended June 30, 2021, was approximately $1.21 million, compared to approximately $2.02 million for the year ended June 30, 2020, an improvement of approximately 40%. Fiscal year 2021 adjusted EBITDA loss, a non-GAAP measure, improved by $0.47 million to $1.51 million, an improvement of 24% from $1.98 million in fiscal year 2020. We had net operating loss carryforwards, NOLs, of approximately $11.3 million. We ended our fiscal year with a strong balance sheet of $13 million in cash after our July IPO with no material cash liabilities, no preferred equity outstanding and no convertible debt. Financially, our Company is in a strong position. We have a strong balance sheet, a low cost structure relative to a growth tech company and the fundamentals of our operations are very positive. We remain well positioned for future growth. With that, I’d like to pass it back to Lyron to offer some closing remarks, after which we will begin our Q&A session.
Lyron Bentovim: Thank you, Maydan. Looking ahead, we are well positioned to create long-term value for our shareholders with the immense opportunity presented in the developing AR and VR industries through the prudent management of an integrated group of diverse subsidiary companies. Our team is committed and focused on the steady execution of our growth strategy as we look to solidify our leadership position as the only pure play NASDAQ-listed diversified enterprise-focused VR/AR software and services company. I look forward to providing our shareholders with further updates in the near term as we continue to diversify our platform and build economies of scale. I thank you all for calling in. And now, I would like to hand the call over to the operator to begin our question-and-answer session. Operator?
Operator: Thank you, Lyron. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Darryl Vans, a private investor. You may proceed with your question.
Unidentified Analyst: Hello, gentlemen, Lyron, Maydan, congratulations on a wonderful year, and maybe we have many in the future. I wanted to start with recurring revenues, which I didn’t see broken down in the press release. What percent was recurring revenues as opposed to new?
Maydan Rothblum: So, Darryl, we -- as far as my comments and in the press release, we view the software services and the -- or the non-project software services and the software license, SaaS revenues, as our recurring revenues. And so, they’re now -- they’re about 50% of our revenues in this fiscal year compared to approximately 25% in the year prior. And the expectation is that that will grow over time on an absolute level and as a percentage of revenue.
Unidentified Analyst: Okay. I wanted to know a little bit more about your sales cycle regarding projects from, let’s say, inception to actually completion, especially considering about 50% with projects? How does this work?
Lyron Bentovim: So, there’s a large variability in the sales cycle. It’s kind of -- the sales cycle of any new project varies between 3 months and 12 months between kind of initial kind of relationship and signing of an SOW. And then usually, the execution piece varies between 3 months and 6 months. So, that kind of gives you a full cover. So, sometimes you will have projects that kind of take three months to book and then three months to execute on. That’s the fastest you can probably do for a project. And sometimes they can take a long time to get them done through the system. Again, we work with mostly large organizations that have a long internal process to closing new projects.
Unidentified Analyst: Okay. Specifically, I’m curious about the VR Campus. How long do you think it takes to actually create this, or how far have we gotten so far?
Lyron Bentovim: So, the VR Campus is actually finished and we delivered it to studio actually this month. So, that’s the good news. And they’re planning on using the VR Campus in their first full semester in October.
Unidentified Analyst: Now, is this considered a project and now they have the Campus and that’s all the revenue, or is there a maintenance fee, an improvement fee? How does that work?
Lyron Bentovim: Yes. So, this is actually not a project, but a license. So, we’ve delivered a license for them. They actually licensed both, our Campus software as well as Elevate, which is the software that Adept XR, our learning company, has to kind of integrate within kind of learning opportunities. And they will continue to pay for those. As they grow, they will pay more and more licenses, based on the utilization. In addition to that, there are projects that relates to additional features that they wanted that are not part of the platform that those were separately kind of captured those projects.
Unidentified Analyst: Great. Do we have a handle on backlog? Are you able to release that information?
Maydan Rothblum: So, as of the end of June, our backlog, which for us are projects or licenses that we’ve either delivered or will deliver in the coming months, and we expect to collect on those. So, that -- the general range of that tends to be somewhere between $1.5 million to $2 million.
Unidentified Analyst: Okay. Your margins improved nicely. Are we going to see a continued improvement in margins? Is there a goal for what kind of profit margins we’re expecting?
Maydan Rothblum: So, at heart, our companies are software companies and software business models, whether it’s a license or a SaaS. Again, everything has to be taken in the context of early-stage industry. So, it’s going to take some time before, as I like to say, the $1 million or $2 million SaaS contract comes around. So, in the long term, we should be seeing software type of margins, whether it’s 70 or 80 or whatever that ends up being, but that’s longer term. We’re building towards that. And that’s why we’re seeing our gross margins improve year-to-year, because again an increasing portion of our revenues are software and services. And we’re managing the projects better.
Operator: Thank you. Our next question comes from Kevin Dede with H.C. Wainright. You may proceed with your question.
Kevin Dede: Thank you. It’s Kevin Dede. Lyron, I think the overarching issue is one of synergy. And I was just wondering if you could walk us through how you see bolting together now with your 10th acquisition developing synergies throughout the organization.
Lyron Bentovim: That’s actually a very good question, Kevin, and thanks for joining us. So, when we brought Auggd in, obviously, kind of that’s like bringing a new member to the family, immediately, they started kind of working with some of our companies. They are cooperating with Post Reality, one of our other augmented reality companies on trying to connect their back ends, for example, and getting the best features that Auggd had in their back end combined with the features that Post Reality has in their back end to try and benefit both companies. They’re working with QReal, another of our augmented reality companies, to kind of benefit both companies. So, QReal specializes in creating lifelike assets, and they are already in multiple discussions working -- supporting the Auggd team and working together to kind of deal with customer needs that both teams have expertise in. So, that’s just kind of with one month of them being integrated into Glimpse. And that’s the type of opportunities. I’ll give another kind of byline -- is one of GMs, had a business contract that has nothing to do with their business that they’ve already introduced the GM of Auggd to and they are scoring a business opportunity. So, as you can see, the synergies are quickly captured by us, once we bring a new company in.
Kevin Dede: And in the past, we’ve talked about this. You’ve commented on part of the power of amalgamating all these separate companies in developing a software platform. Can you speak to where you are in that development? How far along you think you’ll need to go before -- I mean, in terms of time, before you’ll be able to attract external entities and how you think that will correlate with the development of sort of a commercial -- actually pardon me, a consumer VR/AR market?
Lyron Bentovim: So, what you’re referring to is what we call the chassis, which is the platform that we’re building that takes all of the basic building blocks that a VR solution needs that were developed by four of our VR companies, and combining them into one platform that initially is serving those four internal Glimpse subsidiaries. But, the thought is as we move forward and in terms of time line, that’s probably a kind of a 2022 time line, opening those up to VR companies that want to produce and build their VR solutions on top of our chassis platform. One of the things we’re actually in discussions, we’re talking with a large technology company that services the VR/AR space to see how we can connect the chassis directly to their software and therefore kind of creating this solution that creates a win-win for us and for them.
Kevin Dede: Awesome. Okay. Thanks so much Lyron. And thanks for entertaining my questions.
Lyron Bentovim: Thank you, Kevin. Operator?
Mark Schwalenberg: Hi. This is Mark Schwalenberg. It looks like the operator is having some issues. So, we’ll take a few write-in questions for you guys. You’ve got a couple here. What’s your plan in terms of medical and legal VR and AR interactions? And can you comment on just what you see and how far along in this path you are?
Lyron Bentovim: So, on the medical side, obviously, kind of Immersive Health Group, IHG, our subsidiary, is working and developing and selling kind of solutions for training in medical space. So, that’s active and happening and is definitely part of what we’re doing. On the legal side, we’ve looked at working with both, law firms and universities. But, we have not found yet a winning use case that makes sense, given where they are right now. But, we’re constantly in discussions about exploring this.
Mark Schwalenberg: Okay, great. Thanks. And we’ve got another one here. Are you planning on developing VR and AR NFT or are you planning on partnering with someone in that domain?
Lyron Bentovim: We put out a press release a few weeks ago about some of the efforts that we’re doing on the NFT side. We think we have a collection of unique technologies across multiple of our subsidiaries that will enable to bring NFTs into the VR and AR space. What we’re doing is we’re looking and we’re in active discussions on partnering with a variety of players that are already playing in the space that are needing our VR and AR technology to try and work with them to create a solution that will allow people that are in the NFT space to visualize and manage their NFTs.
Mark Schwalenberg: Okay, great. Thanks, Lyron. And I guess one more here. Are you looking at the proof of view blockchain technology with your VR and AR?
Lyron Bentovim: I am not sure. Kind of D.J. Smith, our Chief Creative Officer, is leading the charge on that. So, I assume he is, but I’m not sure.
Mark Schwalenberg: Okay. No, that’s helpful. So, Lyron, it looks like our operator is still having some technical issues. So, with that -- John, are you there?
Operator: Yes, I’m here. Can you hear me?
Mark Schwalenberg: Okay. Do you want to proceed with the dial-in Q&A?
Operator: Yes. Apologies on the technical difficulties. Our next question comes from Christopher Grosvenor with New York Life. Your may proceed with your question.
Christopher Grosvenor: Hey, guys. Congratulations on the quarter and the year. My question is about the low-hanging fruit. So, I’m kind of wondering of your installed base, your existing customers, what’s the opportunity for kind of being more value-add for them? So, maybe you’re going from trial to a license or Software-as-a-Service. What’s kind of the opportunity there?
Lyron Bentovim: No. That is -- Christopher, thank you for joining us and for asking. That is a great opportunity and that is definitely a major driver of our organic growth. As we go into existing customers, initially, almost all of the initial introduction is some kind of proof-of-concept. And usually, that comes with some project element and some minimal license element. As our relationship grows, the thought is -- and we’ve done this with many, many of our customers to date, and we’re continuing to go along that path with others. Those kind of -- the licenses become larger as they expand the base of the users and kind of there’s more projects as they continue to dwell into additional use cases across their company. So, that’s definitely a major part of our organic growth strategy.
Maydan Rothblum: And just to add to that, in almost every case, project or not project, we own the underlying technologies. And so, once there’s a growth and traction with a certain company, that could lead to similar type of situations with other companies in that industry or other tangents, not necessarily in that industry utilizing similar technologies.
Operator: [Operator Instructions] Our next question comes from the line of Jeff Kobylarz with Diamond Bridge Capital. You may proceed with your question.
Unidentified Analyst: Hi guys. Congrats on a good year. Just curious, Maydan, about you said the recurring revenue, I -- when I look at the license revenue, it’s roughly 10% of your total. So, I think you said it was higher than that. Can you clarify?
Maydan Rothblum: Yes. So, there’s two elements of our recurrent services. One is the pure software, software licenses and SaaS, and other are services related to that software or recurring services agreements. And so, when you lump together the software license/SaaS and you add on top of that, the recurring services, that’s how you get to that 50% number. What you were alluding to is just the software and services -- sorry, the software license/SaaS directly without the services.
Unidentified Analyst: Okay, great. All right. Thanks for that clarification. And then, also about gross margin. You say in your press release that excluding stock options, your gross margin was 74%. And you said you expect your gross margins to eventually get to 70% to 80%. So, that 70% to 80%, is that comparable to the 57% this last year, or is it...
Maydan Rothblum: As we have an increasing level of revenues from direct software or some of these services, then those require less human intervention, right? So just by that, we’re going to get to a number that’s higher than where we are today. Certainly, with -- when you take out the equity, then we’ll get to a level that’s similar. I mean, if long term, we can get to gross margins that are 70%, 80% and we don’t have to cut out or exclude the equity portion, because equity portion doesn’t really exist on those revenues, because there’s not a human element in it, then we’ll be better off. But, right now, while those are equity costs, they’re still costs. And so, the true gross margin is closer to that 55%, 60%. But, we thought it was important to carve out the portion that impacts the actual cash of the business.
Unidentified Analyst: Sure. Okay. That makes sense. As far as your patents, and as more patents are filed, does that unleash much greater potential for you to then go to the market and say, hey, we’ve got this technology, let us do some projects for you, or are the patents more just kind of incremental protection of the work that’s done in the background and it doesn’t necessarily open up a lot of white space for you to generate a lot of revenue?
Lyron Bentovim: So, we look at patents as more of capturing a piece of the future. So, when we look at our patent strategy, we’re not trying to patent today and definitely not trying to patent yesterday, because the industry is moving forward quickly. We’re trying to position ourselves, so when this industry gets to scale, we’ve captured some significant junctures that will allow us to monetize those patents. So, they don’t have short-term impact on our business, but I think they can have pretty significant long-term impact on our business.
Unidentified Analyst: Okay. And then, also about your cash and your acquisition appetite, is there any guidance you could say to investors about how much you will be spending, using your cash to make acquisitions?
Maydan Rothblum: So, historically, we have not made acquisitions with cash. Everything was equity-based and earn-out based, and it’s been highly accretive. As we go forward, there will be a mix of more of the type of acquisitions -- some of that acquisition types that we made in the past, meaning smaller companies that have significant growth potential, but also larger companies or at least larger relative to the industry, where we expect there will be some cash component to the acquisition. So, it’s hard to say at this point exactly what that mix will be and which will utilize cash and which will not. What I can tell you for certain is that we’re large owners in the company. We have to be very careful with how -- who we bring in and how we bring in and how we structure these things. So, everything needs to be accretive. We tend to work with earn-outs. The company has to -- as they perform, they get paid. Yes, there’s some upfront payment. And so, we’re very careful with our acquisition strategy.
Operator: At this time, we have reached the end of the question-and-answer session. I would like to turn it back over to Lyron for any closing remarks.
Lyron Bentovim: Thank you, operator. I would like to thank each and every one of you for joining our earnings conference call. We look forward to continuing to update you on our ongoing progress in growth. If we were unable to answer any of your questions, please reach out to our IR firm, MZ Group, who will be more than happy to assist. Thank you. And have a nice evening.
Maydan Rothblum: Thank you, everyone.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time. And have a wonderful day.